Operator: Good morning. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold 2025 Second Quarter Results Conference Call. [Operator Instructions] Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward- looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. [Operator Instructions] Thank you. Mr. Watson, you may begin your conference.
Nolan Allan Watson: Co-Founder, President, CEO & Non-Independent Director Thank you, John. Good morning, everyone, and thank you for calling in to our Q2 earnings call. This morning, I'll give an update on the sale of our business to Royal Gold as well as a quick reminder of why we like this transaction so much. And then I'm going to hand it over to Erfan, our CFO, to discuss the specific financial results, and then Dave Awram to provide some asset-specific updates. Overall, Sandstorm continues to recognize very strong cash flow with over $38 million of operating cash flow in Q2. Since the announcement of the acquisition of Sandstorm by Royal Gold, we've had a positive response from our shareholders. And based on those conversations, we do not expect any challenges getting the required votes to complete the transaction from the Sandstorm side. And I'm told the response from Royal Gold institutional investors appears to be positive as well. So we're looking forward to completing this transaction likely in Q4. The next step in the transaction is for Royal Gold to file their preliminary proxy statement, which I understand is currently expected within the next week. After that, there will be a period of time for SEC comments, if any. And once the comment period is complete, Sandstorm and Horizon will file our information circulars and all three companies will go to a shareholder vote, after which we will complete the transaction. Our best estimate of timing to complete everything is somewhere towards the middle to end of Q4. As we've been discussing the transaction with our investors, the story has been resonating, and again, highlights as to why are because this transaction gives an immediate value bump and solidification of value to our investors. It maintains our exposure to gold, it improves the portfolio maturity and provides a meaningful long-term re-rating potential as well as diversification. Once this transaction is complete, Royal Gold will have an industry-leading portfolio of diversified, high-quality and long-life assets with growth potential. Our portfolio will have over 80 cash flowing royalties and streams and a total of nearly 400 royalties and streams. One of the things that I like most about the transaction is the diversification it brings to both Sandstorm and Royal Gold investors. The main previous knock about Royal Gold was that it had the least diversification of the majors with the highest percentage of their NAV coming from their top 10 assets. Specifically, prior to announcing the Sandstorm acquisition, 79% of their NAV came from their top 10 assets. Now after the Sandstorm acquisition as well as the $1 billion Kansanshi Gold stream acquisition they recently announced, their top 10 assets now only represent 61% of their value which puts their diversification approximately the same as Franco-Nevada's and more diversified than Wheaton, both of which trade at material NAV premiums to Royal Gold. When you look at the list of the top 11 assets that Royal will have pro forma in this transaction, it is an impressive list with no one asset being more than 12% of NAV and the list comprising of Mount Milligan, Kansanshi, Pueblo Viejo, Cortez, Andacollo, Khoemacau, Hod Maden, Platreef, Antamina and MARA. This is a dream list of quality anchor assets. So we're looking forward to working to close this transaction over the coming months. With that, I'll hand it over to Erfan.
Erfan Kazemi-Esfahani: Thank you, Nolan. Turning to the financial results for the 3-month period ended June 30, Sandstrom delivered another record quarter in terms of revenue and operating margin. Total revenue for the second quarter was $51.4 million, a 24% increase compared to the same period last year. This was driven by strong realized gold prices, which averaged over $3,300 per trivial ounce from our gold stream. Sandstrom sold approximately 15,100 attributable gold equivalent ounces in Q2 which was a decrease year-over-year, in part due to the outperformance of gold relative to other commodities, which reduces the gold equivalent conversion of our copper and silver stream. We also expect production to be slightly weighted in the second half of the year based on operator guidance at certain assets, which I'll discuss in a minute. Despite lower GEOs compared to Q1, the strong gold price environment offset this impact, driving our record revenue and operating margin. During the quarter, average cash cost per trivial ounce was $350 resulting in record cash operating margins of $2,981 per ounce. Robust operating cash flow of $37.7 million, excluding changes in noncash working capital, continue to support our deleveraging efforts, and the company made net debt repayments of $25 million during the quarter. We ended the quarter with net income of $16.9 million, a 61% increase year-over-year. Sandstorm's attributable production in the first half of 2025 totaled 33,590 gold equivalent ounces and we continue to forecast full year production to be between 65,000 and 80,000 gold equivalent ounces. At Chapada, production in the second quarter was impacted by lower recoveries due to increased processing of lower-grade stockpiles. However, Lundin Mining expects production in the latter half of the year to benefit from higher grade ore. On the exploration front, the Saúva deposit located 15 kilometers north of Chapada represents a compelling growth opportunity and a pre-feasibility study is underway and expected by year-end. Another solid quarter of production from Bonikro was driven by increased throughput and operational improvement. Allied Gold expect production stripping in the first half of 2025 to expose higher-grade material for the second half of 2025 and for the full year 2026 and 2027. Allied Gold also continues to focus on exploration activities at several targets located on Sandstorm's area of interest. At Greenstone, production continues to ramp up after achieving commercial production in November of last year. Equinox Gold reported nearly 95,600 ounces of gold produced in the first half of 2025. And full year guidance has been adjusted to be between 220,000 and 260,000 ounces, which is in line with Sandstorm's internal estimates, which is factored into our annual guidance range. Sandstrom received and sold nearly 1,200 ounces from Greenstone in Q2, and we expect this to increase in the second half as optimization efforts continue. Equinox is implementing a comprehensive improvement plan with continued ramp-up through the remainder of the year. We saw increased mining activity on our royalty ground on the Houndé Gold Mine in Q2, which positively impacted attributable royalty revenue. Endeavor Mining is now sourcing ore from the Kari West pit with supplemental feed from Vindaloo Main and Vindaloo North, all within Sandstorm's royalty claim. Furthermore, exploration of Vindaloo Deeps is ongoing with a maiden underground resource expected in the first half of 2026. Sandstorm also received its first silver deliveries from the Woodlawn mine subsequent to quarter end. Developed global, the operator reported that the site commissioning is proceeding to plan and ramp-up is in line with the project schedule. Looking at the breakdown of our production by region in metal type, approximately 45% of attributable GEOs in Q2 came from South America, 34% from North America, including 19% from Canada and 25 -- 21% from other jurisdictions. On a metal basis, 82% of GEOs were from precious metals with copper contributing 11% and other base metals making up the remaining 7%. This distribution continues to reflect our strong exposure to gold and silver, while maintaining meaningful leverage to copper. And with that, I'll turn it over to Dave for a look at some of Sandstorm's development assets. Dave?
David I. Awram: Great. Thanks, Erfan, and good morning, everyone. Today, I'll focus on a couple of projects in our pipeline now, starting with Greenstone, as Erfan just talked about. So since Q1 2025, Equinox's Greenstone mine has demonstrated very clear improvements in production output and operational efficiency. In Q2, 2025 gold production from Greenstone rose from 51,000 -- it rose to 51,274 ounces, up to 44,449 ounces from Q1. This 15% quarter-over-quarter increase indicates that ramp-up efforts are very much yielding results. Higher production was driven by mining more ore and more efficient milling and processing. By mid-2025, Equinox reported mining rates at Greenstone reached about 175,000 tonnes per day, roughly 25% higher than the average rate in Q1. This acceleration of mine output makes a substantial improvement from all previous quarters, alongside mining rate improvements, the mill throughput and gold recovery rates have been improving as well. While the company acknowledged that year-to-date processing performance is still below the ideal plan, the trend is positive. The processing plant is handling increased volume and extracting gold much more efficiently. This solid output close to 96,000 ounces in the last two quarters, positions Greenstone where it belongs at the top of Equinox' portfolio. Even more improvements are anticipated in the coming months as operational optimizations continue. The project's trajectory is clearly upward evidenced by the quarter-on-quarter gains and expectation of even stronger results in that latter half 2025. At Platreef, first feed of ore into the Phase 1 concentrator is scheduled to take place Q4 2025, targeting initial production rates of around 100,000 ounces of platinum, palladium, rhodium and gold. As the project progresses to Phase 2 and Phase 3 expansions, Platreef is projected to be one of the largest and lowest-cost PGM producers worldwide. Phase 2 life-of-mine costs are estimated to be per ounce of platinum, palladium, rhodium and gold, which compares very well to the current spot basket prices these same four precious metals of approximately $1,600 per ounce. On May 8, underground development commenced in ore for first time. The ore is being stockpiled on service and will be used in the Phase 1 concentrator ramp up in the coming months. Shaft 3 is on schedule to be ready to hoist from Q1 2026 which not only supports the Phase 1 ramp-up, that will also play a key part in the future Phase 2 expansion. Of course, a key part of the Phase 2 expansion is completion of Shaft 2 which now raised boring completed to 950-meter step and the process of widening to the final 10-meter diameter is set for early 2026. Together, these two shafts will have hoisting capacity of over 12 million tonnes per year. Overall, the development is on schedule. And while Phase 1 ramp-up is imminent, the project is preparing for Phase 2 targeting late 2027. I was going to finish my asset update on this, but just didn't feel right considering the extraordinary exploration results recently released by Lundin Gold on Fruta del Norte. Lundin Gold's exploration program has delivered outstanding results since Q1 and covering new high-grade gold zones and even a new copper gold system. Near-mine drilling is extending the known deposit notably at FDN South and East side with multiple bonanza grade intercepts confirming additional gold resources. These successes have prompted Lundin to significantly expand its 2025 drill campaign as the company moves to convert these discoveries into reserves and extend Fruta's 12-year mine life. Conversion drilling at Fruta del Norte South returned some of the highest grades ever recorded at Fruta. For example, intercepts of 139.5 grams gold over 9 meters and 43.8 grams gold over 9.8 meters. These results confirm that the rich vein system continues to south of the current mine with new gold zones discovered outside the previous resource model. Engineering studies are underway to integrate FDNS into the mine plan, potentially adding many more years into Fruta's production profile. Drilling at FDN eased a new target, just 100 meters east of the mine has expanded the mineralized zone with hits like 6.6 grams over 10 meters of depth. Multiple subparallel veins have been delineated and the latest holes confirm that gold mineralization remains open to the north, indicating room for further growth. I think these results successfully demonstrate FDN East as a significant new gold system that has a great chance of becoming a next new ore body adjacent to the main deposit. Beyond the epithermal gold system, exploration has uncovered a large copper gold porphyry system at Trancaloma, evidenced by a remarkably broad intercept of 0.5% copper equivalent over 858 meters. Additionally, drilling at Bonanza Sur outlined a broad near-surface gold zone, for example, 101.1 grams over 162 meters suggesting a sizable mineralized envelope that may connect with Trancaloma system. These fines highlight a district scale potential around Fruta del Norte with geologists now eyeing other targets like the nearby Castillo and Sandino prospects for similar mineralization. Spurred by these successes, Lundin has expanded its 2025 drill program from 80,000 meters to 108,000 meters. 17 drill rigs are active on site. Certainly, the largest annual drill campaign ever at Fruta but also the largest in all the Americas and probably the entire world. So with that, I'll pass the call over to the operator, John, and we can begin the question-and-answer period.
Operator: [Operator Instructions]
Nolan Allan Watson: Co-Founder, President, CEO & Non-Independent Director Sounds good. Looks like there are no questions. And as normal, we'll be here if anyone has any follow-up questions, we'll be in the office. So thanks, everyone, for calling in, and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.